Operator: Good afternoon, ladies and gentlemen, and welcome to the First Quarter 2021 Earnings Conference Call for Merit Medical Systems Inc.  Please note, that this conference call is being recorded and that the recording will be available on the company's website for replay shortly. I would now like to turn the call over to Fred Lampropoulos, Merit Medical Systems' Founder, Chairman and Chief Executive Officer. Please go ahead, sir.
Fred Lampropoulos: Thank you, and welcome everyone to Merit Medical Systems First Quarter 2021 Earnings Conference Call. I'm joined on the call today by Raul Parra, our Chief Financial Officer and Treasurer; and Brian Lloyd, our Chief Legal Officer and Corporate Secretary.
Brian Lloyd: Thank you, Fred. Before we get started, I would like to remind everyone that this presentation contains forward-looking statements that receive Safe Harbor protection under federal securities laws. Although, we believe these forward-looking statements are based upon reasonable assumptions, they are subject to unknown risks and uncertainties. The realization of any of these risks or uncertainties, including the unpredictable effect of the ongoing COVID-19 pandemic as well as extraordinary events or transactions impacting our company could cause actual results to differ materially from those currently anticipated. In addition, any forward-looking statements represent our views only as of today, April 29, 2021, and should not be relied upon as representing our views as of any other date. We specifically disclaim any obligation to update such statements, except as required by applicable law. Please refer to the section entitled cautionary statement regarding forward-looking statements in today's presentation for important information regarding such statements. Please also refer to our most recent filings with the SEC for a discussion of factors that could cause actual results to differ from these forward-looking statements. Our financial statements are prepared in accordance with accounting principles which are generally accepted in the United States. However, we believe certain non-GAAP financial measures provide investors with useful information regarding the underlying business trends and performance of our ongoing operations and can be useful for period-over-period comparisons of such operations. This presentation also contains certain non-GAAP financial measures. Reconciliation of non-GAAP financial measures to the most directly comparable US GAAP measures is included in today's press release and presentation furnished to the SEC under Form 8-K. Please refer to the sections of our presentation entitled non-GAAP financial measures and notes to non-GAAP financial measures, for important information regarding non-GAAP financial measures discussed on this call. Readers should consider non-GAAP financial measures in addition to, and not as a substitute for financial reporting measures prepared in accordance with GAAP. Please note that these calculations may not be comparable with similarly titled measures of other companies. Both today's press release and our presentation are available on the investors page of our website.
Fred Lampropoulos: Thank you, Brian. Let me start with a brief agenda of what we will cover during our prepared remarks today. I will start with an overview of our revenue performance in the first quarter, including the business trends we experienced during the quarter and the areas of our business that performed well despite the challenging operating environment. I will then provide an update on our operating progress and highlights during the first quarter. After my opening remarks, Raul will provide you with a more in-depth review of our quarterly financial results and the formal financial guidance for 2021 that we updated in this afternoon's press release, as well as a summary of our balance sheet and financial condition. And then, we will open the call up for questions. Now beginning with a review of our first quarter revenue performance, we reported total GAAP revenue of $249 million in quarter one up 2.2% year-over-year. Our total GAAP revenue growth was driven, primarily by a 4.9% growth in international sales and a 0.2% growth in US sales. Our US sales growth was driven by low single-digit increases in sales of both our peripheral intervention and cardiac invention products, which offset low single-digit declines in sales of our CPS and OEM products. Our International sales increased 4.9% year-over-year in the first quarter, all of which was driven by the benefit of changes in exchange rates compared to the prior year. Sales to international customers declined 0.5% year-over-year on a constant currency basis. Excluding FX benefits, our international sales results were driven by high single-digit growth in sales of our peripheral intervention products and mid-single-digit growth on sales of our OEM products, which offset declines in sales of our CPS and cardiac intervention products, compared to the year ago period. Total first quarter revenue increased 0.6% year-over-year on a constant currency basis, reflecting the benefit of our GAAP revenue results as a result of changes in exchange rates compared to the prior year period. Our constant currency growth results were notably better than the expectations, we provided on our quarter four call, which called for Q1 constant currency revenue to decline 6% year-over-year. Our constant currency growth performance was driven by a 0.7% growth in sales of our cardiovascular products, which partially offset by 1.2% decrease in sales of our endoscopy products compared to the prior year. Importantly, while our constant currency sales increase was only modest, we are pleased to return to year-over-year growth for the first time since the first quarter of 2020.
Raul Parra: Thank you, Fred. Given Fred's detailed review of our revenue results, I will begin with a review of our financial performance across the rest of the P&L. For the avoidance of doubt, unless otherwise noted, my commentary will focus on the company's non-GAAP results during the first quarter of 2021. We have included full reconciliations from our GAAP reported results to the related non-GAAP items in our press release this afternoon. Gross profit increased approximately 4% year-over-year in the first quarter. Our gross margin was 49.2% compared to 48.5% in the prior year period. The approximate 80 basis point increase in gross margin year-over-year was primarily due to changes in product mix as well as decreased obsolescence expense and improvement in manufacturing efficiencies on higher volume. The first quarter operating expenses decreased 4% year-over-year. The year-over-year decline in operating expense was driven by a 6% decrease in SG&A expense, offset partially by a 9% increase in R&D expense compared to the prior year period. The reduction in SG&A expenses were a result of lower compensation expenses as a result of reduced head count from cost-cutting initiatives in 2020 and lower discretionary spending as a result of reduced travel, training, and shows, and conventions during the COVID-19 pandemic. The increase in R&D expenses was largely due to increased outside expenses for certain R&D projects and particularly, related to WRAPSODY and increased compensation expense related to acquisitions of KA Medical and other new projects. Note, while we were pleased with our operating expense performance in the first quarter, our expenses did benefit from some modest timing-related delay in selling and marketing spend and our investment in our WRAPSODY clinical study for a partial period in Q1. Both of these dynamics will result in a sequential uptick in operating expenses in the second quarter. Total operating income increased $7.9 million or 26% year-over-year to $38.9 million. Our operating margin was 15.6% compared to 12.7% in the prior year period, an increase of 290 basis points year-over-year. First quarter other expense net was $1.5 million compared to $3.4 million last year. The change in other expense net driven by decreased -- was driven by decreased interest expense as a result of lower effective interest rate and lower average debt balance. First quarter net income was $29.9 million or $0.52 per share compared to $21.1 million or $0.38 per share in the prior year period. We are very pleased with our profitability performance in the first quarter where we reported growth in net income and diluted earnings per share of 41% and 39% year-over-year respectively in a quarter where our sales were up less than 1% on a constant currency basis compared to the prior year period. Turning to a review of our balance sheet and financial condition as of March 31st, 2021, our strong profitability performance in the first quarter combined with strong working capital efficiency resulted in strong operating cash flow generation in the first quarter of $35.2 million, an increase of 22% year-over-year. Our efforts to control our capital expenditures resulted in a year-over-year decrease in CapEx of roughly 56% which fueled very strong free cash flow generation of more than $29 million in the first quarter. Our Q1 free cash flow generation is the result of great execution from the team and importantly, continued evidence that we are clearly focused on enhancing the profitability and cash flow profile of our company going forward. As of March 31, 2021, we had cash on hand of approximately $58.5 million, long-term debt obligations of approximately $321 million and $418 million of available borrowing capacity, compared to cash on hand of approximately $56.9 million, long-term debt obligations of approximately $352 million and available borrowing capacity of $389 million as of December 31, 2020. Our net leverage ratio, as of March 31, was 1.4 times on an adjusted basis. Turning to a review of our fiscal year 2021 financial guidance, which we updated in this afternoon's earnings release. For the 12 months ended December 31, 2021, the company expects GAAP net revenue in the range of $994 million and $1.014 billion, representing an increase of approximately 3.1% to 5.2% year-over-year as compared to net revenue of $963.9 million for the 12 months ended December 31, 2020. The net revenue range, now assumes a benefit from the changes in foreign currency exchange rates in the range of approximately $8 million to $8.5 million, representing a tailwind of approximately 90 basis points to our GAAP growth rate this year, compared to the prior guidance range, which assumed a benefit in the range of approximately $4 million to $4.5 million or 40 basis points to our GAAP growth rate in 2021. The fiscal year 2021 GAAP revenue guidance range assumes net revenue from the cardiovascular segment of between $963 million and $982 million, representing an increase of approximately 3.1% to 5.2% year-over-year as compared to the net revenue of $934.2 million for the 12 months ended December 31, 2020. The prior guidance range assumed growth of approximately 2.7% to 4.8% year-over-year. Net revenue from the Endoscopy segment of between $30.8 million and $31.9 million, representing an increase of approximately 4% to 7% year-over-year, as compared to net revenue of $29.7 million for the 12 months ended December 31, 2020. This net revenue range is unchanged from prior guidance expectations. GAAP net income in the range of $47.3 million to $55.9 million or $0.83 to $0.98 per share, compared to GAAP net loss of $9.8 million or $0.18 per share. For the 12 months ended December 31, 2020, the GAAP net income range is unchanged from prior guidance expectations. Non-GAAP net income in the range of $104.8 million to $112.7 million or $1.84 to $1.98 per share compared to non-GAAP net income of $93.3 million or $1.65 per share for the 12 months ended December 31, 2020. The non-GAAP net income range is unchanged from prior guidance expectations. For modeling purposes, our fiscal year 2021 financial guidance assumes non-GAAP gross margins in the range of approximately 48.5% to 49.8% and modest increases on a year-over-year basis in our non-GAAP operating expenses, largely driven by higher selling and marketing expenses, related to the increase in sales as well as phasing out of temporary salary reductions, partially offset by prudent G&A expense management and approximately $8 million of other expenses largely driven by lower interest expense as a result of the reduction in debt obligations outstanding as compared to the prior year. A non-GAAP tax rate, in the range of approximately 24% to 25% and approximately 56.8 million diluted shares outstanding. Lastly, while it is not our standard guidance practice, given the significant impact of the COVID pandemic in the second quarter of 2020 and the related benefit to our Q2 2021 year-over-year growth rate, for the avoidance of doubt, we expect our total revenue in the second quarter of 2021 to increase approximately 14% to 16% year-over-year on a GAAP basis and increase approximately 11% to 13% year-over-year on a constant currency basis. With that, I'll turn the call back to Fred.
Fred Lampropoulos: It's a lot of information Raul, and I think very well presented. Thank you very much. And before we open the call for questions, I wanted to review the important considerations and key assumptions for the investment community to bear in mind as they evaluate our 2021 revenue guidance. We have two items to call out as contributors to our 2020 revenue results that represent material headwinds to the growth rate of our guidance, which is assumed for 2021. We also have a key assumption impacting our 2021 revenue expectations over the second half of 2021. Let me provide some additional color. Regarding the two areas that represent headwinds to our 2021 revenue growth expectations, first, as discussed on prior calls and disclosed in filings during fiscal year 2020, we announced strategic decisions to exit three businesses in 2020: the suspension of Merit's distribution agreement with NinePoint Medical in quarter one of 2020; the disposition of assets related to the manufacturing of Merit's Hypotube product in August 2020; and most importantly, the closure of the ITL Healthcare procedure pack operations in Australia in December of 2020. Together these businesses contributed revenue of approximately $11.1 million during the fiscal year 2020 and will not contribute to our revenue results in 2021. Second, our 2020 revenue results benefited from the sales of the Cultura nasopharyngeal swab and test kits used to test and collect transport samples of COVID-19, testing which we developed manufactured and distributed beginning in the second quarter of 2020 in response to the critical need as a result of the COVID pandemic. The Cultura swab initiative was a direct response by our organization to help the State of Utah and other states, and prepare for the swab shortage in April of last year, and we quickly directed resources to the development of this kit with our engineers, technicians, marketers and production staff, working tirelessly to bring this product line from start to finish in 30 days. Now we believe this represents a great example of not only Merit's strong R&D and manufacturing capabilities, but also our ability to adapt quickly to changes in our markets and to respond to time-sensitive demand from our customers. Importantly, Cultura is not a core product line for Merit. And so going forward we expect to generate approximately $1 million to $2 million in sales from this product in 2021 compared to more than $19 million in 2020. This represents a material headwind to our year-over-year revenue growth profile. The third item, I wanted to point out for investors is to consider when evaluating our 2021 revenue growth profile is a key assumption that impacts our APAC revenue over the second half of 2021. Our revenue guidance includes approximately $11 million to $12 million of a headwind related to lower pricing as a result of tenders in the second half of 2021. Overall, we expect our total revenue in China to increase in the low single-digits year-over-year in 2021 despite the expected pricing headwind as a result of strong unit growth we expect during the year. Now while we're pleased with the strong demand driving unit growth, such that we are able to offset this expected pricing headwind related to the tenders, we note that $11 million to $12 million of lower pricing represents approximately 120 basis points of headwind to our total company constant currency growth rate in 2021. Excluding the revenue contributions in 2020 from exited businesses and sales of Cultura as well as the pricing headwinds from China tenders over the second half of 2021, our total revenue guidance for fiscal year 2021 reflects growth in the range of approximately 6.6% to 8.7% year-over-year on a constant currency basis. With respect to our expectations for year-over-year constant currency revenue growth for the second quarter in the range of 11% to 13%, include approximately 300 basis points of growth headwind related to the revenue contributions in 2020 from the exited businesses and the sales of Cultura. Now we remain confident in our 2021 guidance for total revenue growth on a constant currency basis in the low to mid single-digits year-over-year. And importantly, excluding the impact of divestitures and product sales that uniquely benefited from pandemic-related demand trends in 2020, our constant currency revenue guidance continues to reflect growth in the mid to high single-digits year-over-year in 2021. We also expect to report improving non-GAAP growth in operating margins and strong free cash flow in 2021 driven by strong execution and contributions for our multi-year strategic initiatives program related to the Foundations for Growth. Now that is a lot of information. And -- but that does wrap up our prepared remarks. And I think right now to our administrator we would now like to open up the line for questions.
Operator: Thank you, sir.  And our first question coming from the line of Jayson Bedford with Raymond James. Your line is open.
Jayson Bedford: Good afternoon guys, and thanks for taking the questions.
Fred Lampropoulos: Hey, you’re welcome, Jayson .
Jayson Bedford: So I got on the call a little late so I apologize if these have been covered. Just on the guidance very strong 1Q that exceeded your guidance, you've integrated the full year. So I'm just wondering is there anything out there that you can point to as a reason for not raising guidance, or is this more reflective of the overall caution given the dynamic world we're living in these days? 
Fred Lampropoulos: Yes. Well I'll comment brief and then let Raul weigh in if he wants to. But we still have this pricing issue that's unresolved in China. We don't know how that's going to shake out, and so that's part of it. There's still some hotspots out there. And so I think Jayson, it's just -- we're confident in our full year confident in that. And I think we were just -- that confidence remains. Business is improving as we discussed, but it just seems to be a little bit early with those potential headwinds out there and without that knowledge to move it up. And it's only the first quarter. I think we'll reevaluate it in the second quarter as we're able to look at how the business progresses. Raul?
Raul Parra: Yes. Jayson, I think I'll just start off with saying we're really excited how Q1 panned out. We're excited about our -- feel really confident in our guidance for the year. I think really kind of came down to is we got off to a slow start for the beginning of the quarter. First couple of months, we're kind of in line with our original guidance that we had given. And then we just saw a really, really good March. And so I think what we want to do is just let's see how the rest of the quarter plays out. At the end of the second quarter, we can kind of evaluate where we're at and update guidance if we need to. But for now there's just -- still some choppiness and we want to see some more consistency before we move on from that.
Jayson Bedford: Have trends in April differed from the trends you saw in March?
Raul Parra: So we gave some Q2 color. I think that's kind of where we're going to leave it at. Obviously, if you look at kind of what -- that guidance, I think you'll see that it does show no improvement, but we'll leave it at that.
Jayson Bedford: Okay. And last one and then I'm sure there's others that want to get in. When do you expect to hear about the, let's call it, the at-risk China tender the one that's impacting 11 12 months of your guide, or what's the time line on that? 
Fred Lampropoulos: Yes. So those tenders open up in the third quarter, early third quarter. So I mean, we'll start to get a feel for it. There's – we haven't had any indications of anything at this point. But again, as we discussed in the fourth quarter and on this call, there's that risk out there and we thought it much better to point that risk out. And again, as we all know, if it happens, we think we have a number that might be a reasonable number, if not, then it's to the benefit of the business. So we – again we still stand by the fact that it needs to be there until we see otherwise. And again, as you know and we'll recall, it was really based on some trends and some other issues that you're seeing out there and with some other companies and things we were following. Maybe we avoid it, maybe we don't. But nothing – I don't have anything that would indicate today one way or the other. I think that's really the point I want to make Jayson.
Jayson Bedford: Okay. Thank you.
Fred Lampropoulos: Great. Thank you very much.
Operator: Our next question coming from the line of Steven Lichtman with Oppenheimer. Your line is open.
Steven Lichtman: Thank you. Hi, guys. So let me first, Fred if you could talk a little bit about WRAPSODY in Europe. I know you mentioned some early data. But I'm wondering if you could just talk about the progress of WRAPSODY rollout in Europe overall.
Fred Lampropoulos: Yes. Well listen as you all know, and everybody follows this every day, Europe is very choppy. Now there was some announcement. This was on the news today that there are certain places that are going to open up. And this – and other places are still hot. So we are selling the product. I think maybe a bigger indicator is just this evening, we were part of a symposium sponsored by the British Society of Interventional Radiology and we had approximately 130 physicians on this call. I was told that this involvement, this participation was higher than anything that they had recently. So I think it shows the interest in the product. It's being sold. We're getting new orders almost every day. But again, it's going to take a little bit more time to get this open back up, so we have more access. And I will say this also Steve is that, there's more access in the US than there is in Europe. It's still – and I think I've discussed this on other calls, but I haven't – if I haven't we're seeing right now, I'm going to use this kind of as a general number of about 50% of our sales reps can get access to hospitals. They can show products. They can do this now 50%. And that's up by the way dramatically. It's almost doubled from the previous quarter. In Europe, it's at best, 25%. So it's about half of that access. And that comes from kind of almost zero. So again, these are our numbers that are anecdotal but they're coming from reports that come from our sales force. So it's improving but – the access in Europe. But to go to the base of your question, we're selling the product. Maybe what's even more exciting is when you see people that have ordered in the past reordering. And as you know reorder is almost as important, if not more important than making that initial sale. So, I'm fine with where we are. I'm fine with the technology. I think it's still going to be everything we hope for. It's just playing itself up. And then of course as we announced in the prepared comments, we've now opened up of course the US trial. And as that starts to unwind we get more hospitals in there. We're going to see that trial move along. At the end of the day, when we get that done, it's going to be two or three years. But again, our enthusiasm for the WRAPSODY has not changed at all. And if anything, I would say, it has improved. 
Steven Lichtman: Great. Great. And then just free cash flow, obviously continues to impress. I guess given that and where your leverage ratios are, are you thinking about increasing M&A, tuck-in M&A at all, or – just wondering, what you're thinking about in terms of use of cash and to what the landscape is out there.
Fred Lampropoulos: Yes. As we previously said, when we generate that cash, we're paying down our debt. I think you – I think you said this Steve that the – we have a very strong balance sheet and we're very capable. We're out looking. There are things that come to us. I think you have to be very disciplined in this market. You have to buy right. You have to look right. So we're there and we're actively looking around and things are coming our way and considering things but nothing of course to talk about. But again, I want to remind everybody of the discipline in the selective. And the important thing and maybe the whole question is we don't have to do anything. We're not forced to do it so we can grow. We have a full pipeline of R&D projects. As these markets open back up, things will get back to normalization. And – but if the right thing comes along, we'll be prepared to move.
Steven Lichtman: Great. And then just lastly I apologize, if you mentioned this. I know you're keeping the sort of conservatism on the potential China tenders. When do you think you'll get visibility, as to whether those are in place or not? Obviously, I know you've already built it into guidance but just wondering on that.
Fred Lampropoulos: Yes. It's the question of the day. We know that they'll go out in Q3. Remember, it's done province by province. So it's like dealing with each state almost. You get – these guys will do it, you'll get this in. So we'll start to have some visibility as we go into the third quarter, because we know the tenders go up from lots of things. It's not just our products or a lot of products but it will play itself out in the third quarter.
Steven Lichtman: Great. Thanks, Fred.
Fred Lampropoulos: All right. Thank you, sir.
Operator: Our next question coming from the line of Matthew O'Brien with Piper Sandler. Your line is open.
Matthew O'Brien: Good afternoon. Thanks for taking my question guys. One for Raul and then probably one for Fred. But Raul for starters, the gross margin adjusted in the quarter was really good but you're sticking kind of with the full year outlook for that metric. So can you talk about some of the benefits that you saw there? And then why would we kind of go back to the midpoint of the range you provided versus kind of the higher end based on what we saw in Q1?
Raul Parra: Yes. Look I think as we noted product mix was -- I'm looking at it more sequentially quite frankly Matt, if you look at kind of where we came out of the fourth quarter. But the reality is we have good product mix. Our obsolescence expense was less. And then obviously with the volume that's helping also. So I think we feel comfortable with our guidance for the year and our - I think the gross margin quite frankly was kind of where we expected it. So... 
Q – Matthew O'Brien: Okay. Okay. Sounds like you're being somewhat conservative which is understandable. And then Fred the peripheral business I know we all want to talk about the different segments here. But if you go back to 2019 and the Q1 performance there you grew nicely in the peripheral business off of 2019. I know '20 is a little bit more challenging to look at. But that chunk of the business is doing quite well. Can you just talk about some of the dynamics that are assisting that business and how we should think about the trajectory for peripheral over the course of this year and even the next couple of years? Thank you.
Fred Lampropoulos: Yes. I don't have that -- the numbers Matt in front of me to -- but I will just say generally as you know in our research and development, we focused on that market which is highly fragmented and one that we've invested in for years. So if you look at products like the Surfacer, you look at products like the WRAPSODY, you look at embolics, you look at all these things the SCOUT, you take a look at microcatheters, those are the areas that are getting a lot of interest. And those are the areas that Merit continues to invest in probably heavier than some of the other areas just simply because of the opportunity. So I think it's been more of a company focus. Now all of that being said, as these markets open back up we have a lot of electrophysiology products and other things that will be coming to the marketplace that would go over on the cardiac side. But clearly peripheral has been an area of interest in development and investment for quite some time and we'll continue to do so. 
Q – Matthew O'Brien: Okay. Thank you.
Fred Lampropoulos: Thank you sir.
Operator: Next question coming from the line of Mike Matson with Needham. Your line is now open. 
Mike Matson: I guess first I wanted to ask about WRAPSODY. The -- just curious if you had an estimate of the cost of the PMA trial in the U.S. and kind of the timing that that will be incurred in and what that sort of means for your R&D spending as a percentage of sales. 
Raul Parra: Yes. So if you remember our guidance at the beginning of the year or last quarter Mike we actually included that and it's one of the reasons why our R&D expense is going up. So I won't talk to the actual dollars of the actual study, but it is baked into our guidance. Some of that was delayed I guess in Q1, so we'll start to see additional expense in Q2 for it. But again, I'll just keep it high level and just say that it is included in our guidance and it's part of the reason why our R&D expense is growing. 
Mike Matson: Okay. All right. And then very strong quarter from operating margin perspective and some of that I guess is due to the continued savings from reduced travel and conferences and things like that. So how should we think about the ramp-up in OpEx over the next few quarters? And do you think you'll get back to full kind of pre-COVID levels there, or is there any kind of permanent savings we could see? 
Raul Parra: Yes. So we do expect an uptick in operating expenses for Q2. I think we talked about that in our opening statements. But as far as our non-GAAP operating expenses we do expect modest increases year-over-year. Obviously there is some savings that we plan on keeping, but there's also investments we're making such as the WAVE study as we talked about. 
Fred Lampropoulos: And Mike, I think you asked when you go back to normal and the answer is partially. There are going to be things -- in fact we've met several times this week in terms of some office issues and consolidation and things like that. And in those issues, we will continue to have a number of people continue to work at home as an example. I think we discussed this in the conference we were in, but our entire customer service department is working at home. Interestingly enough, at higher levels of efficiency, the customer satisfaction the surveys we've done have shown us that these are things that are continuing to be helpful. And in fact what we did this week is reallocated that space for other areas and moving to make it more efficient internally for departments to meet. I won't go into all of the details, but we're reallocating. And the reason I'm saying this is, your question was do you expect to go back to normal? And the answer is nothing at Merit is going back to normal. There are modifications, and efficiencies, and businesses, and SKU rationalization all the things we've talked about as part of our Foundations for Growth. I mean those things are a high priority. And some of those are now just beginning. Remember we worked all of last year a good portion of the year at least six months of that evaluating and assessing and planning and those things are starting to go and that plan is for three years. So I think that momentum and the things we're doing there would tell us that things are not going to go back to what would be considered normal and past performance. So we believe that we'll continue to improve the business across the board as we have promised to do so. And you've seen that in our plan of course. So I don't want to get too much on the soapbox but it's pretty important to us. 
Mike Matson: Its important to us. That's helpful. And we'll all be happy if the costs are lower than normal and the revenue and EPS are higher than normal. 
Raul Parra: I think we agree. 
Fred Lampropoulos: Anything else Mike? 
Mike Matson: Okay. I'll stop. 
Fred Lampropoulos: Okay. All right. 
Operator: The next question coming from the line of Larry Biegelsen with Wells Fargo. Your line is open.
Shagun Singh Chadha: Thank you for taking the question. This is Shagun in for Larry. I was hoping you could talk about the impact from new product launches. I believe a number of products -- you couldn't launch a number of products during COVID. So how significant is that backlog of new products? And then, Fred you recently hired a Chief Strategy Officer that you mentioned briefly on the call. That's a new role. So can you talk a little bit about why you added that role, what Rob brings to the table and how you're thinking about succession planning? Thank you for taking the question.
Fred Lampropoulos: Yeah. Thank you. So let's go back to the new products. I think one of the encouraging signs of what we believe is the early stages of recovery of the industry is some of the products that we introduced essentially stalled. You introduced them and then hospitals locked down, elective procedures locked down. But what we've seen is those products come back to life. And by that I mean we're getting orders with increased access that we talked about just previously to a comment a few minutes ago. We're starting to see that those products are good products, interesting and are things that fill into the areas again that we talk about peripheral and cardiac and so on and so forth. So -- but it's still very, very early and all of these products and more to be launched. But I think the key part to all of this is the fact that we didn't stop our development of new products and that we will continue to see the benefit of that as we go forward as part of our overall growth strategy. Now, let me go to the individuals. I think you can read in there -- in the parts that are in the press release this is good people, experienced people. It's part of our succession planning. It's part of being able to build a base of experience of talent going forward in our business. These are guys that have experience or helping us for instance in the HR or in recruiting and in compensation and benefits and helping to prove and make sure that we're competitive and so on and so forth globally. And again on the operations side, let's say on the sales marketing and strategy it's -- I've been doing a lot of this myself for many, many years. I've got people that help me. But I think that it's been helpful to have Rob here and to be able to bounce ideas off of him. And I think this is just part of what we had talked about. This isn't -- we had talked about this in our foundations for growth. We had talked about this and then we think it's necessary. This is something the Board is engaged in and that's the structure and part of our foundations for growth. So we're pleased. We've seen a difference. The experience -- at the same time it's been interesting, because in many cases they're pleased with things and the culture of agility and things that we've talked about that maybe they didn't experience in other places. And then we get the benefit of their wisdom, their experience and looking at things and giving us things to consider. So I think when you add all that together you have a stronger company. You're able to attract even more talent down the road as the company grows and we think that's essential for both succession planning and just for the well-being of the business. So I think it's been a good process. And over time we'll fill in other places that we think are necessary for continued growth and support. So talent development is an important part and talent acquisition is an important part of our strategy in foundations for growth. So it's planned. It's not haphazard. It's well-planned and thought out. We have a schedule and three years to execute that plan that we delivered.
Shagun Singh Chadha: Great. Thank you for taking the question.
Fred Lampropoulos: You're welcome. Thank you for the question.
Operator:  Our next question is coming from the line of Jim Sidoti with Sidoti & Company. Your line is open.
Jim Sidoti: Hi, good afternoon. Fred, can we stick on that new products subject for a little bit? Can you give us a little color on what you have in the pipeline? And are you able to start launching those now, or do you think they'll be significant by 2022?
Fred Lampropoulos: Well, Jim it's a good question. Listen Merit has always been known as a company of innovation. We've incorporated the new products into our guidance. And again when appropriate -- if appropriate we'll discuss that down the road. But listen if you take a look at the business, we got here and built this business on the foundation of innovation and meeting customer needs and we've been doing a long time. It is a cultural thing that we do all the time. So again whether it be in the area with SCOUT and -- or in the peripheral area from your toe up to your head, or whether it be in the cardiac area with our electrophysiology products, Merit is building a foundation of complex and needed products for continued growth in the future. What also I think is very pleasing is to see that as things start to come back and procedures is the fact that people want these products. You can -- products sometimes sit on the shelf. But as this thing is starting to come back together, people want these products. And that for me is -- things were dark a year ago, Jim you never know if you get a chance to show people these great innovations. But we're showing them and I think going back to the WRAPSODY just in this -- this BSIR thing -- symposia I told you about. I mean to have 130 physicians spend 1.5 hours or whatever on a Zoom, Teams meeting is terrific in the evening. I mean they've been working all day, they're tired but that's how exciting that technology. So I'm not concerned that anything has changed despite the foundations for growth on the innovation side. In fact, it's the thing that we have really, really spent a lot of time making sure, it's preserved and passed on to the next generation.
Jim Sidoti: All right. And then, Raul on working capital, I mean, it's just -- your working capital management improved quite a bit in the last 12 months. If we look a year ago, sales are higher now receivables are flat. The inventory is quite a bit lower. What's changed there? And is that change sustainable?
Fred Lampropoulos: Yeah. Well, listen, look, I've got my Chief Operating Officer in the room. I've got my financing staff here, properly spread out. And listen, when we announced our initial plan 18 months, 20 months ago, Raul talked about, what we were going to do with some facilities and the products we were going to move. This was really just the beginning. And then, we looked at all the other things. You get so busy sometimes that, there are, some things right in front of you. We -- I mean, I don't care whose business, we're talking about. There are nuggets, all over the so-called low-hanging fruit. So we're looking at that. And then, the stuff that's in the mid-range and the stuff that maybe is a little more difficult. So its how we get compensated Jim. And humans respond to …
Jim Sidoti: Okay.
Fred Lampropoulos: …incentives and the incentives are -- these are the goals. And we meet weekly sometimes daily to talk about are we on track. And some were ahead on, some were behind on. But again, if there were measures to leave today, it's -- I don't want anybody to misunderstand or underestimate our commitment to complaining our foundations for growth. It's not foundations for being cheap. It's not foundations for lower cost. It's foundations for growing the business and growing it more profitably. And it's -- I think we've done a good job. And then, I think you will see them -- continue to see the benefits and the fruits of our labor going forward. So I'm maybe being too assertive aggressive here. But we're engaged. And we continue to be. And we'll hit those goals. That's, yeah…
Jim Sidoti: Yeah. Okay.
Raul Parra: And there's, targets every year.
Fred Lampropoulos: And it's fun, yeah.
Raul Parra: There's, targets that we keep track of them. Ron and I, we're in close contact almost on a weekly basis. Actually on a weekly basis, we get an update where the inventory stands. Receivables, we're just -- we've got a good handle on it. We're keeping an eye on it.
Fred Lampropoulos: And what I would call is still a difficult -- you're talking about the goals and forecasts. Listen, there's a lot of stuff out there. Let's not forget this storm that's out there. I'm sure on other medical device calls, you guys have picked things up like, shortages that people have and transportation and Suez Canal. And I mean all these things that are going on out there. There's stuff -- it's a constant battle. But the staff and everybody have committed, working hard. And I just have to say, because you left his wide open for me, I am really pleased with the results of this quarter. And I'm pleased not just by looking backwards, but looking as to what everybody is committed to do and how we're working together. I think I don't know if we've surprised people. It hasn't surprised me, to see the things. Now the question is always well, why, didn't you do it before? And I think, we should all ask ourselves that same question on almost every aspect of our life, right? Why don't we do this? And why didn't we do that? Well, we're doing things. And I think you're seeing the results of that, Jim. So I better stop, because I could go on another half an hour. And I committed to keep this call to one hour, so, Jim, anything else?
Jim Sidoti: No. I think, it sounds like, the -- the focus on improving cash management and working capital management and cash flow, it sounds like, that's something that's not going away anytime soon in there.
Fred Lampropoulos: No. No. Watching that debt go down and watching the sadness in bankers' eyes, because they're not getting as much as absolutely one of the most pleasing things that can never happen. And maybe more importantly the flexibility it gives to us. I mean I've seen grown men, bankers and women weeping, because we won't take their money. And don't need it.
Jim Sidoti: Thanks, Fred.
Fred Lampropoulos: All right. Thanks, Jim.
Operator: And I'm showing no further questions at this time.
Fred Lampropoulos: Well, listen, everybody. Thank you. I know it's a busy day. We'll take no more of your time. We appreciate you taking the time to listen this. Raul and I will be around for the next two or three hours, looking forward to your calls. Thanks again. We look forward to coming back to you, when appropriate to do so. See you soon. Thank you. Bye-bye.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may now disconnect.